Operator: Good afternoon. My name is Mora and I'll be your conference operator today. At this time, I would like to welcome everyone to Las Vegas Sands Second Quarter 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Daniel Briggs, you may begin your conference.
Daniel Briggs: Thank you. Joining me on the call today are Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, Executive Vice President and Chief Financial Officer. Before I turn the call over to Rob, please let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provision of federal securities laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides in our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you please respect our request to limit yourself to one question and one follow-up question so we might allow everyone with interest an opportunity to participate. Please note that this presentation is being recorded. With that, let me please turn the call over to Rob.
Rob Goldstein: Thank you, Dan. Good afternoon everyone and thanks for joining us today. We want everyone to know that Sheldon is doing fine. Patrick and I were there last week in Israel and he's in great spirits. We look forward to him rejoining our next conference call in October. Let's get to our results; we had another strong quarter across all of our markets. Company adjusted EBITDA was $1.27 billion. In Macao, adjusted property EBITDA was $765 million, up 2% over the prior year. We grew our mass table and slot revenues by 6% over the prior year with record volumes in the base mass table segment. Our market share for the quarter was approximately 23% consistent with prior year. More importantly our profitability is to lead the industry EBITDA margins at 35.6% up another 20 basis points year-on-year. The Parisian Macao had a strong quarter with the adjusted EBITDA of $139 million, with mass win per day growing by 27% year-on-year aided by the introduction of our new suits. During the quarter we celebrate the 15th anniversary of the Sands Macao opening, which marked the beginning of Macao's amazing transformation. Sheldon's vision more than a decade ago to create the critical mass of integrated resorts on Cotai with hotel, entertainment, retail, and MICE facilities positions us well for the future. There is no better market in the world than Macao with regards to continuous deployment of our capital. We look forward to making additional investments in Macao as we contribute to Macao's diversification and evolution into Asia's leading leisure and business tourism destination. With the opening of the Hong Kong-Zhuhai-Macao Bridge and the ongoing development of the Greater Bay initiatives, which we believe Macao has the potential to become the MICE capital of Asia. And we fully intend to contribute to that goal, both through our existing assets and future investments. Let's turn to Singapore. Adjusted EBITDA was $346 million. Proven MICE EBITDA was consistent with prior year at $384 million. Growing volumes increased by 23% over prior year while mass win per day was consistent year-over-year in Singapore dollar terms. The hotel continues to enjoy strong occupancy and the retail sales per square foot increased by 10%. Our Las Vegas operations had a very strong quarter with adjusted EBITDA of $136 million. During this quarter we completed the sale of the Sands Bethlehem. This project has been a great success for the company not just financially but in terms of its positive impact on the wider regional economy and local community. It's a great example of how our developments can drive economic growth for our host communities. I like to thank all the team members for their dedication and professionalism over the years, and wish them the best of luck in the future. Finally, we see to increase the return of capital to shareholders. And just like your dividend, we repurchased $180 million of stock in the quarter. Thanks for joining us today. Let's go to the questions. Dan?
Daniel Briggs: Operator, we're ready to begin the question-and-answer session.
Operator: [Operator Instructions] We have a question from the line of Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix: I mean, good afternoon, I'm pleased to say good morning. I think it's because the new fonts on your deck through me, Dan. So just looking at your mass results with the base up almost 15% and premium mass down about 4%, Rob, just wondering if you could talk about the complexion of the premium mass declines? Was it mostly in the supreme mass or was it across the whole segment? And also, just wondering if you could talk about the performance fees of either ramping premium product in the market? So, I'll stop there and then I'll ask my follow up.
Rob Goldstein: Thanks, Felicia. Apologies for Dan's thought. I share your pain. Let's got to our base mass and premium mass segments in perspective, our drop in the second quarter I think was about $6.1 billion. That was up year-on-year and also quarter-on-quarter. So, think about that for a second, our second quarter drop has succeeded our first quarter, despite Chinese news and the seasonality issue. I think you all know that Q2 is typically our weakest quarter. We have the largest base mass business by far in Macao. And this quarter's performance was exceptional. On the largest base in the mark we do know the 14.7 year-on-year. I think the bridge has been helpful. But the real story here resides in our capacity in lodging, gaming, entertainment and retail assets. We dominate the base mass segment and our competitive advantage is undeniable and it will live on for quite a few years, I believe. So, I've looked at our premium mass business which you reference as well. Again, we have the largest premium mass business in Macao and the largest margin in that segment. Volumes were consistent and that's with Q1, our miss came in the whole percentage not in the volume. The volume was there, the whole percentage wasn't. Put in perspective, our mass business and premium mass business exceeds $25 billion a drop annually based on current run rate, so a miss in whole percentage point or two or perhaps three creates a massive impact on our results. I guess this is demonstrated by the results in this segment from Q1 versus Q2. You can do the math and realize the swings here are in the hundreds of millions of dollars on an annualized basis. So, let's discuss what we're doing about it in the next couple of years. While others are talking about what they're going to build down the road we are building, we're building 1200 exceptional suites for Londoner and the Four Seasons. And these are large, very large, stunning suites the highest quality will open throughout 2019. Some open actually this fall throughout 2020. And these suites are laser focused on the premium mass customer at the highest level. Our suite product will exceed most of our competitors till key camp by the end of 2020. Macao rewards quality product and scale. And we have the product to drive exceptional premium mass play as a result of our products. We expect to dominate that segment in the same manner we dominate based mass play. The future Macao today and tomorrow is mass and printing mass. And we believe rolling in chunk of business while with helpful the real future lie – our growth relies on mass and premium mass growth. The profit drivers remain these segments and the actual driver of these segments is product. Product is scale and quality. We made on this phone call a couple years ago, a very large strategic bet on the future Macao. And we decided to invest over $2 billion US at a time and others were unwilling uncertain. We made that bet. That decision we front and center next year as we complete the Four Seasons suites. We'll have approximately 3000 suites in Macao and that excludes the 750 square foot suites at the Venetian. If you include those our portfolio is over 5500 suites. Macao's future growth will be in the mass segment, our structural advantage already evident in the base miss this will not change. Our goal is to extend the advantage in the premium mass segment. In the next 18 months, we'll see the introduction of a product that's superior from a design perspective, but also from a scale perspective. And that will be proven out the next few years our performance as we get stronger and stronger in this premium mass segment. And we're very sure about how we feel about this product and how it will perform the market. So maybe that adds some color to the volume issues as well as the whole percentage issue Felicia.
Felicia Hendrix: Yeah, it is. And just the kind of follow up on that, I mean, you guys actually did come in on the mass side better than we were expecting on both mass – and both the volume and the whole or the win rather. But just kind of looking sequentially both at your mass market share and even your VIP share, it looks sequentially like you did lose some share. And I'm assuming that is kind of what you were alluding to in those comments on that premium mass side and on the VIP side there's some new products now and you're rolling yours out next year. So maybe you could just –
Rob Goldstein: I think to that point, we – again, to be real clear about this, our successes quarter 14% year-on-year growth in base mass shows the power of these products we have currently in the market. But I think our future success will dominate base mass, I think for the next five years, I don't see anything else happening in the market, it would really hurt us in terms of that growth. But we really want to focus and be laser focused on that premium mass customer. We believe that customer response to product. So, you open a Londoner with approximately 5800 keys, a brand new façade, a brand new casino floor, you get that Four Seasons building open with 290 super large suites of quality, the same thing with the suites inside Londoner on the APEC side. And all of a sudden you had a product that probably is undeniable to our suite capacity, and all the retail and the other price we have in that market entertainment. I think it puts us in a position for the future that is dominant. I just believe that – I think the success at Macao in Morpheus is evident. We see that time and time again, product works in this market. And we're dedicated to giving not just large scale product, but great quality product. And I think our success attrition as evidenced by the comments in the opening, we opened that hotel to about $100 million run rate per quarter, it's now morphed to 140, 50, 60. It's a $600 million store performing very, very well. And the growth there comes out of premium as in that new suite product at the present. We expect the same to happen. We've seen it at Venetian; we've seen the Parisian they will happen again at Four Seasons. Think about a brand new Four Seasons building with gaming capacity, 290 exceptional suites. And then on top of that, we open Londoner. Our portfolio is going to be in a very different place inside the next 18 months.
Felicia Hendrix: Okay, but for this quarter what place are you in just in terms of some of the competing product that's out there.
Rob Goldstein: Well, I think you see that we're still – we're number one in the market in both base mass and premium mass. The growth again this quarter, for the lack of growth is more tied to – our volumes were fine, we're consistent, Q1 was consistent with Q2 which I think is a great statement. Where we've missed is in the quarter where you weren't called normalized whole percentage and how you address that these days is confusing that's evolving that whole situation what you think is it 22, is it 24, is it 25, people raising their estimates, but our miss again is tied to our whole being different in Q2 than Q1. And that's the whole difference. Our base mass was extraordinary. It's our premium mass that missed and especially the [indiscernible].
Felicia Hendrix: Okay, great. Thanks for all that color.
Rob Goldstein: Thank you.
Operator: Another question from the line of Thomas Allen from Morgan Stanley.
Thomas Allen: Good afternoon, so just on Singapore a bit. The increased entry libraries went into fact in the beginning of April, how are you seeing that effect play? Thanks.
Rob Goldstein: Yeah, it's negative in terms of – we've had some pushback against the levy but hasn't affected our volumes very much. It's been – it's phenomenal, you would expect the price increase to see some pushback and has been from the low end of the customer base. It's already stabilized and probably the upswing. Now, the impact is negligible. It's a few points maybe of drop on the non-rolling. And I think you'll see a comeback in Q3 and Q4. Like anything we price it up there's going to be initial negative reaction, no one's celebrating the increase of HTC. But it's not material and that impactful.
Thomas Allen: Helpful, thanks and then just in terms of Vegas, your baccarat business was really strong in the quarter recognizing you had a soft 2Q 18, but it just stands out where it was strong in the face of the market weakness and some of your peers talking about weakness in that segment. Can you just talk about how – your perception of what's going on there. Thank you.
Rob Goldstein: Sure. We're very proud of Vegas performance. I think it's the best known history are not as close to it. Everything worked in this quarter from a gaming and lodging perspective. The race was strong, the occupancy, our business was very good. The baccarat grew and I think again we'll use the term highly concentrated. Our future in Las Vegas, I think is less and less dependent on the super high end and more dependent on slot, ETG and premium mass kind of mimics was happening now with it. Again, as you know, this is primarily lodging mark, we remain strong in lodging piece of our business quarter after quarter, we faltered in the gaming point, a lot of volume in someone's been holding percent this quarter we held okay, our volumes are better. I wouldn't call it a trend. I wouldn't try to extrapolate how it plays across the market in Las Vegas. I think this mark remains – you can make a lot of money here as you focus on the hospitality piece and if you have the right gaming mix and you run your full property, watch your cost. And we are good quarter and we're very proud of that we have like in the first half the retracting I think it's close to 270 EBITDA. So, we could have a record year here in Las Vegas. But again, I think on the baccarat piece Thomas, less inclined to believe that's going to be a trend that we're going to see quarter after quarter of strong performance. I do think we'll see our overall table and slot business ramp up especially in the premium mass side. We're building product for that. We're just not in the casino floor. We're very – we run our business very close to the vest, look at everything we can do on the floor to maximize profitability in this quarter it really paid off and it will pay off the rest of the year.
Patrick Dumont: One of the things to note is that we have been reinvesting significantly in Las Vegas over time. So, we'd like to believe that through those investments, both the room product and the casino floor, both on the Palazzo side, food and beverage operations as well as the rest of the campus, that you see some growth in cash flow. So hopefully this can continue because we're going to continue to invest and hopefully grow the market.
Thomas Allen: Makes a lot of sense. Thank you.
Operator: Your next question comes from the line of Joe Greff of JPMorgan.
Joe Greff: And good afternoon, guys. Rob, my question really relates back to the Macao premium mass results. Just I'm understanding all your comments which we appreciate. You're saying premium mass volumes in the 2Q were consistent with the 1Q, so I'm presuming you're saying that flat sequentially, what we're doing in that –
Rob Goldstein: I think it's down 25, 3% if I recall.
Joe Greff: Okay and what would it be on a year-over-year basis, so just not taking into account variations and whole percentage.
Rob Goldstein: Yes, and a premium mass drop in Q1 of '18 versus – Q2 '18 versus Q2 '19.
Patrick Dumont: Correct. Jeff, that's not really something that we put out publicly just in terms of the way to compare it with that breakdown. So, I think just in general, you should look at the wins for guidance and just see that. The business itself is healthy. In the long run, it's going to continue to grow based on the investment that Rob referenced in the earlier question around how we see the business and what our positioning is. And in the long run, this is something that will do quite well, right. I think the key thing here is if you look back as the best that the Sheldon made more than a decade ago, this brilliant bet to invest in scale, to invest in non-gaming amenities, to really create the critical mass that allows people to show up and have a lifestyle type experience. So, they can go to a show, go to retail, go to the best restaurants that they've been to, and then stay in some of the highest quality suites that are offered in the world. You're going to realize that with the additional suite products that Rob referenced, we're going to have premium mass growth. We're going to see the best customers available come to us because of the amenity mix, because of the experience we offer to them, because of the high quality gaming environments that we have. So, we don't typically get this granular on premium mass drop in the way to split is because at the end of the day, the business is managed, in aggregate from the standpoint of production on return on invested capital. And so, when you look at our results over time, we think we've been very good at capital allocation, we think we've been very good at investing in the right assets to the right quality level, we're getting better at it. And we think this next step that Rob referred to is going to really leverage the initial bet that Sheldon made years ago and scale and propel us to the next category. So, I think you look at this year-over-year and 2Q '18, you see that we – our mass table win was 663 million, it's a great – it's a – it's a spectacular number. And then we did 635 this quarter again, there's some hold in there, there's some other factors in there. But as a practical matter, the business continues to be very healthy. So, I think you have to think about this as a long term business. And you have to think about it the trajectory that we've experienced over the last couple of years, particularly as the inbound or the outbound tourism growth from China has been [indiscernible]. So, we feel very strongly about.
Rob Goldstein: So, I think that – just a comment further on the ecosystem we have there besides the new Apple store, the theatre and the retail and the endless advantages we have. I do think you have to pay attention in suite mix in Macao. Again, a lot of people talking about they're going to build this and build that. I don't blame them. The most coveted asset in Macao today is rooms and suites. The one thing everybody wants more of is rooms and suites. And I think it's clear to see where our trajectory has been last four or five years in that segment, we just keep growing year after year, whether we missed by a quarter by a point or two or grow by a point or two the fact is we're approaching this year, probably $25 billion in those two segments base and premium, you put that against anyone else's business, there's no comparison. When we get lucky where we hold at the high end of range, we have $800 million, $900 million opportunities, we don't hold lucky we hold down the 750 or 740 range. But in the end, if you look at where we're going with our product offerings and our suite and table, our entertainment our retail, scale and size and quality, I think it's undeniable we're going to go in this premium mass segment. We won't be able to dominate as clearly as we do with the base mass, but I think we'll come off to close.
Joe Greff: Got it, it's helpful. And then just my follow up, I think I know the answer to this, but I just want to get clarification from you guys. When I'm looking at Sands Cotai – Sands [indiscernible] performance in the 2Q front, would you say anything that was being negatively impacted by any renovation disruption or any pre planning or anything related to the Londoner?
Rob Goldstein: Yeah, you've got – you've 1200 keys we're ripped apart and being transformed into 600 keys, you've got a massive problem in terms of just it just happens. You can't do it quietly. Then you have the disruption that Conrad as a result of the transformation of forest of the holiday into the Londoner suite product and then the facade issues are sort of happening out there. I wouldn't call it national problems, but I'd call there's absolute disruption to some degree coming out of the transformation of Holiday into Londoner, and the Jason Conrad, the noise et cetera. Yeah, it's still a 1200 room transition 600 as a lot of banging and hammering. And this will be upset about it. You can't avoid disruptions when you're transferring your building like we're doing that it's going to get worse, I think, as we get into this further in the year.
Joe Greff: Great, thank you. I appreciate the comments.
Operator: Your next question comes from the line of Shaun Kelley of Bank of America.
Shaun Kelley: Hi, good afternoon, everybody. Rob sorry to beat the dead horse on this a little bit, but just on the on the premium mass side. I mean, I think we all have a pretty good feeling for how concentrated some of the VIP businesses especially in market like Singapore and Las Vegas. Can you just give us a little more color maybe at a broad level on the customer base that you're seeing in premium mass in Macao and just – you talked about the sensitivity around how important a couple point to hold here can be. Is it just a fragment of the customers that are able to move the dial across the whole business or kind of how concentrated is it just to give us a little bit more color in terms of what to expect from a volatility perspective going forward?
Rob Goldstein: Let's begin with apples and oranges. You've heard the expression apples and oranges, VIP in Las Vegas and VIP Premium direct rolling in Singapore is night and day apples and oranges versus premium mass and Macao. Macao is a mass premium market with thousands and thousands of customers. In Las Vegas, I say concentrating – I mean, concentrated, especially in the baccarat Asian piece. That's a very different audience. Same thing in Singapore, I wouldn't mix those two up. It's very important. What you see in China – in Macao is extraordinary. It is a think about the comment, in all the years I've done this. There's never any market and never will be a market. That one company has $25 billion of roll of drop in a year think about how staggering that number is $25 billion in premium mass and mass. It's not one, it's not 10, it's not 50, it's thousands of people coming in. That's why we're building all these suits and all this product that's laser focused on getting our fair share in fact beyond our fair share, we want to punch above our weight. And so, in Singapore that's the game plan there as well. Be very careful when you allude to VIP because when I think of VIP in Singapore, I think of a very concentrated direct rolling customer. Premium mass is a horse with different color and that customer we are targeting with our new expansion in Singapore, but our – so you know how we're thinking about this is clear. We want to be the dominant player in Asia, in the premium mass baccarat and mass baccarat business. These assets we're constructing or designing for that audience. We've already because what Sheldon did a decade ago, the scale business, we dominate that, that's pretty clear from the numbers, 15% growth on a huge base mass platform. But to have this thing, these suites especially in Singapore as well as Macao, this is not a small market. This is a very large pool of customers coming out of China, but also from the rip and so I wouldn't worry about. And my point of whole percentage is just that – my point is we don't know what the – the whole percentages are moving. I mean, people are constantly updating their whole percentage formula. And it's a very complicated, evolving process in Asia, especially in Macao. It's a fascinating market, but it evolves constantly. The Chinese customer makes counterintuitive bets in my position. They play longer. They have a different exit strategy than other customers. Large players oftentimes make – that's not discipline but play their proposition play some long hours. The market mix in Asia, in Macao and in Singapore is so different than the US. And of course, gambling in Asia is not as frequent as ever available as is the US. So, when they come to Macao or Singapore, it's more of a – it's like Vegas was 30 years ago, it's unusual, it's unique, so they stay longer, they play larger, they don't run for the table and they get a head. They bet counter-intuitively. This is a very different audience, but please be careful when you make that comment about is the same as Singapore in Vegas high end, no, it's not. It's a pool of probably 10s of thousands of Asian people who play at that level and it's the reason why Macao is so incredibly important to the data product to address that.
Shaun Kelley: Perfect that that definitely answers the question and then the other thing I just – for my follow up wanted to touch on to hit on the capital you guys are investing to target this customer war, I believe you mentioned a couple of times, both in comments and in your prepared remarks that some of the suite product for the Four Seasons is going to open in the fall. Is that new? And can you give us a little bit sense of how much capacity could come online? You sort of a little bit more about how many rooms and what the timing of that might look like?
Patrick Dumont: Hey, it's Patrick. I think if you turn to page 16 in the deck, what you'll see is a slide consistent with one that we've published previously, where we lay out exactly the timeline that we see right now, around these new suite product coming online. So, if you look at the Four Seasons, we're talking about sometime towards the end of Q1 and our goal is Chinese New Year. So that's when you should really start seeing the impact of the Four Seasons suite product.
Shaun Kelley: Okay, sorry, I thought I heard something about fourth quarter, but I appreciate that. Thanks, Patrick.
Patrick Dumont: No problem.
Operator: The next question comes from the line of Anil Daswani of Citi.
Anil Daswani: Thanks for taking my question guys. My first one is on the VIP segment, now some of your competitors have opened new VIP products and have actually managed to do the opposite of the market trends. Is there anything you can do different to your product on the VIP side to try and take some share from some of your competitors?
Rob Goldstein: Yeah, two slots in there – we went – I was there last time in Macao, we toured the new product lead, it was at Macao and also when I believe and they're great salons we're opening the Londoner and Four Seasons brand new salons. I think there'll be very competitive and open next year and they're great product and to your point yes, we can open salons. However, I would be careful in terms that we look at the numbers in those salons and the junk of business in general of the margin and the flow through. We as you see it more deck somewhere represents for sub 10% of our business comes out of the rolling especially junket segment. You know we want to be in that state we always say will be in that segment will spend the capital, we'll compete and we'll compete favorably. But I would caution people to look at the flow through and the margins coming out of the junket business. With the erosion of that segment up with the margins it's less appetizing for the market, but having said that we'll certainly participate. Our new salons at the Four Seasons and at the Londoner will be very competitive and we plan to participants. Yes.
Anil Daswani: Thank you as a follow up, could you also tell us what the plans are for the expansion at Marina Bay Sands? Is there a timeline that you can share as to when the new VIP stuff or premium mess stuff in Singapore will be coming online?
Rob Goldstein: So, you're pointing to the actual project itself or the stuff that we mentioned in Tower 1?
Anil Daswani: I guess something you mentioned in Tower 1 as well as the expansion, please.
Patrick Dumont: Yeah, I think if you go to the deck, we've included this slide that we included previously about the Singapore expansion starting on page 22. I think the way to think about it is, as we said before, our goal is to kind of open by the end of 23 kind of be an operation, January 1, '24, we'll see if we can get there. We're working hard to do so. And I think we don't have a precise timeline yet, for the Tower 1 activities. So that's going to be dependent on obviously, the required approvals and some work to get done. We just have to make it happen. So, it's probably going to be a year or two before that comes online. So, nothing near term, we just have to work through that and get the necessary approvals before we can say.
Rob Goldstein: Yeah, I just – to follow on Patrick's comments, what's happening in the so, I should mention to you that our mass casino floor is going through renovation currently and will open renovated by summer of 2020. The new super premium mass levels level two open early 2020, H levels two and three in 21. And keep in mind we're adding additional slot machines, late '20 and another 400 roughly in the balance in '21. So, 500 more games to the floor in '21 and so the market does 700 to 800 hours per unit per day is pretty impacting.
Anil Daswani: Thanks for taking my questions guys.
Patrick Dumont: No problem, thank you.
Operator: Next question comes from the line of Carlo Santarelli of Deutsche Bank.
Carlo Santarelli: Thanks, guys. Good afternoon. Rob, could you talk a little bit on the VIP side as to where you guys kind of are? And I know you're not going to give specific numbers, but where you are with respect to your direct mix of VIP relative to your junket and maybe just benchmark that against prior periods in the history of you guys operating in that business in Macao.
Patrick Dumont: Hey, it's Patrick, one thing we don't actually provide that breakdown, we kind of view VIP as a whole as a way to kind of think about the mass win in that business. So just as a practical matter, I think what you'll see is that we're kind of following the trend of the overall Macao market for VIP. And unfortunately, we witnessed a little bit of a contraction in that business. I think the prior question was about our products. We feel like over time as we continue to invest the substantial capital over deploying in Macao that will be much better positioned to grow VIP when there's a rebound the future. This is a business that's seen some cyclicality across years, seen some challenges in the way, customers utilize that type of business and over time, it's always been resilient. And so, we'd like to believe that we're poised to take advantage of the return when it occurs. And in the meantime, we'll keep servicing the customers there as best we can. But in terms of providing specific breakdowns, that's not really something that we're going to we're going to provide at this time.
Carlo Santarelli: Understood, Patrick, and maybe if you wouldn't mind. Could you comment a little bit about how you see kind of the junket business shaping up here over the medium term just in terms of consolidation that's occurred within the junket industry and whether you see that kind of continuing or you see that the market may be starting to become a little bit more fragmented as we look out over the next two to three years?
Patrick Dumont: It's hard to take that. I don't think it's hard to predict. Obviously, junkets are going to a very, very interior with what's happened in the last month or so. Yeah, it's hard to predict what the junket business ends up being. We're hoping for a resurrection to come back, as we always done that in the past, I assume we'll have a future as well. But there's other markets out there and some of the structures and some of the ways they can gamble makes it hard to figure out how Macao figures into that. I mean, it's confusing. The things that are allowed regulatory wise from other jurisdictions, it's hard for us to really ascertain where the junkets want to go. You know, they want us to redirect our efforts to other jurisdictions. I think that's the biggest question, I think mark will be there, demand is there. I assume liquidity will be okay. But where the customers want to go and where the junkies want to send them. And so, it's hard to say. We always know in the end it's driven by – product is essential, we'll have the product, but the reality is, I mean, it's a low margin business, and it's challenging. And I think again, it's been challenging structurally from Macao to compete, if other jurisdictions do things and Macao doesn't allow and I applaud the efforts of the Macao regulators to keep it the way it should be, which is done with the integrity in quality. The Macao people, I think have stepped up and done the right thing. And we applaud their efforts. It's quite note – it's noble to run the business properly and not allow things happen that have been happening. So, we're hoping for a comeback in Macao. So, we have a product ready for that come back. But as you alluded to earlier, we have another side of our business interacting, and that customer adore our salons our suites if in fact the junkets don't participate. But I think we both know Macao is still a very desirable jurisdiction albeit regulated, regulated properly. So that's the way it should happen.
Carlo Santarelli: Great, guys. Thank you very much.
Patrick Dumont: Thanks Carlo.
Operator: Your next question comes from the line of Robin Farley of UBS.
Robin Farley: Great, thanks. I just wanted to see if you could comment on – I don't know if you have any expectations for the timeline for rebidding on concessions in Macao to stay expectation when might be our fee in the next 12 to 18 months, anything along those lines. Thanks.
Patrick Dumont: We currently don't have any information and we're eagerly waiting what we should do. But that being said, we're very proud of the investment that our chairman made when he first started building in Macao and how that blossoms into the largest portfolio of non-gaming amenities. And we also believe that because of our strong relationships and support for small and medium enterprise, we're very well positioned to continue. So, we feel like we've been a very good corporate citizen, we've contributed meaningfully to the economy there. We've done the things we've been asked to do to diversify the economy away from non-gaming. And we're prepared, so we think we have a great case to make for the future. And we're just eagerly waiting.
Robin Farley: I guess one of your other concession holders have talked about big non-gaming investment may be added to their – not necessarily anything that would have to be added before a concession renewal would be known about. But do you have – you're obviously investing tremendously right now in your Macao properties. When you look out a little further, are there additional things that you think about doing or even have room to do that could add as well outside of what you've already announced for the next two years?
Rob Goldstein: Hi, Robin its Rob. I think about it every day. We like to invest with both hands in non-gaming assets because I think if you look our history, we've done it without being really – they asked us to do things and we over responded. And you see the investment made there with the hotels and the entertainment and the retail and all the things that people thought were crazy are not crazy today. But we like to invest with both hands and the future Macao. We are such believers in the juice. We're proud to be there. I think Pat alluded to what was done 15 years ago, I remember watching it and thinking to myself with this payoff and obviously Sheldon's scale thought process paid off beyond my understanding, it continues to pay off. And I think we would be thrilled. Sheldon, if you ask to invest many more billions of dollars would ask how fast can you get there. And so, we're eagerly waiting for the government’s advices. We are very, very proud of what we've done in Macao. It's been one of the greatest experiences I've ever had in this business. And the government's been nothing, but supportive or proudly part of that process there. We're very proud to be part of the – we talked about our points of view, which is clear, we'd like to see it evolve even further to maybe the greatest non-gaming jurisdiction. Our retail business there, our entertainment business, our non-gaming lodging business, it's just – we are huge believers. And we think we're at the beginning that the end of Macao success. So, all they have to do is tell us how much is where and Mr. Adelson will be the happiest guy in the world to write a very big check.
Robin Farley: Okay, great, thanks very much.
Operator: Your next question comes from the line of Jared Shojaian of Wolfe Research.
Jared Shojaian: Hi, good afternoon, everybody. Thanks for taking my question. Just to stick with the premium mass theme for a second, I know this might be a hard question to answer. But do you think the conclusion is that links of play is down from 1Q to 2Q? And then as I think about a normalized run rate for mass win percentage, do you think 1Q was more of an anomaly or do you think 2Q is more of an anomaly?
Patrick Dumont: Good question, Justin, good question. Well, the first question you asked about the time play I don't think that's worth worrying about. We don't see any evidence of that, if anything this market. If you haven't spent enough time there watching the way these customers come and gamble and again, the only legal jurisdiction available to close to mainland China is Macao. And in case you haven't been there recently, it's extraordinary place. I mean, it's evolved to a place I think one of the reasons Vegas will have a difficult time in the future is it's such an attractive environment for gamers. And it's got all the bells and whistles, all the dining and retail and entertainment if you want right across the bridge there. So, it's pretty extraordinary and the bridge, of course added – it gilded that already big lily. So, I don't worry at all about Chinese people gaming longer. That's not a problem at all. As far as you know, that business where it goes just gets bigger and better. And I wouldn't worry at all about these people coming in and that business growing. As your whole percentage question, I think I alluded to it earlier. It's fasting and the Chinese market is somewhat counterintuitive. Having grown up in places like Atlantic City and Las Vegas and in Chicago and even the Caribbean, you have this belief that the larger bank rolled customers would gravitate towards the – it's called the better advantage bets, but the Chinese are counterintuitive. And they make that one proposition bets they play sometimes only proposition bets, they play far beyond the time you think they would, with most customers you worry about with you adequate time to qualify for complimentary or discounts. The Chinese just wonder if they're going to leave the table. They're a much different profile and I think that lends itself to confusion about whole percentage. We held, I think it was – what it was 25 or 24 something in Q1, I don't think there is aberration at all. It's just a question of how to mix your bets. When you have a – it all comes down to how they bet the game. So, this is this is a math business and when they make these bets that help the household higher, you're going to hold higher. And what we saw in Q1 is not aberrational. In fact, I could make the argument that the whole person is gravitating towards the higher end 24, 25, 26 versus 21, 22. The premium mass customer stays longer, has a very confusing exit strategy. They make bets that don't seem to on the face wouldn't be the right thing to do. So, I think you're going to see as premium mass get stronger whole percentages trade up. Am I prepared today was 23 versus 24 versus 20? I don't know. And I think again, depends on the mix of bets events. They bet pairs and ties; they don't go straight bet – bank player over there. They bet the lucky six, they bet things that we find somewhat confusing as operators. But it's an incredible market. Also, they come from faraway places and they stay longer. And so, when they get to Macao it's not just, they're going to go back to their home city no place the gamble, so they have an outsize gaming appetites, but clearly, it's a mathematical equation that we can always gauge. But I don't think anyone's prepared to take exactly as a 23s, 24s, 25, we do know things are trading up though the whole markets moving towards a higher whole percentage category which is helpful to us and our fellow operators, competitors. So again, as the market mix changes, players come from further away, more premium mass. I think you're going to see whole percentage trade up. Is our first quarter repeatable? I believe it's absolutely repeatable. I think this business is going to evolve further, but no one I've met can tell exactly what the whole percentage numbers should be.
Jared Shojaian: Great, thank you. That's helpful. And then can you just talk about the promotional environment on the junket side and specifically if you've seen any changes in commission structures from any of your peers?
Patrick Dumont: Now, I don't think that's an issue today. I think the junket business in flux, but I don't believe it's about as promotional, I think it is more about where the customers want to go, what the better products are and frankly it's a jurisdictional decision. I mean, I think some customers are moving towards – maybe promotional in other jurisdictions offer better bet or better circumstance than we do in Macao. But again, I think Macao will stay – it's the gold standard for the regulatory environment there in terms of keeping it consistent, keeping it accurate. I think what they've done is exemplary. And I think we're lucky to be part of a jurisdiction that runs that business in the manner the Macao does right. I don't think it's about promotional within Macao. It may be promotional outside of Macao, other jurisdictions that could be hurtful to the junkie revenues.
Jared Shojaian: Excellent, thank you very much.
Patrick Dumont: Thank you.
Operator: Your last question comes from the line of David Katz of Jefferies.
David Katz: Hi, good afternoon, everyone. I wanted to ask about, one of the areas we're constantly trying to monitor is the Chinese economy and the degree to which it is helping and hurting business and quite frankly we've seen some mixed signals in that regard. If you could share whatever perspective you might have in that regard. And my second follow up is, as I look at the capital that you've laid out between Macao and – assuming that you were successful in winning a bid in – with the winning bid in Japan, we've gotten so used to a pristine balance sheet. Where might you see that going and where would you be comfortable leverage wise as we look out over the next several years?
Rob Goldstein: I'll cover that.
Patrick Dumont: Fine, why don't we address the capital structure first? If you look at our capital structure, and you look at the nature of the way we borrowed, I think the key thing here is that we've been very conservative with the anticipation of having the opportunity to develop in Japan. So, we always wanted to make sure that we had ample balance sheet capacity to be able to fulfill our chairman's highest and best use, which is deploying capital in new projects. And so, we would only invest in something that has a high return threshold that meets his criteria and the board's criteria. And so from that standpoint, I think if you look at the timing of Japan, look at – you referenced both Singapore and Macao, you look at the timing and delivery of those projects, and the potential cash flow growth that Rob alluded to out of Macao and some of those investments and what our view is on what the appropriate return is in Singapore. You see that the timing actually fits quite well for the growth in EBITDA and decrease of the balance sheet capacities in order to fund the development in Japan. And so, we're very much looking forward to the opportunity. Unfortunately, the timeline is not so obvious and it's also not so short. It's possible that it may take several years even before an operator is selected. So, during that time, we'd like to believe that our assets in Macao and in Singapore will continue to grow their cash flows as they establish a stronger position in the market and enhance our already very strong offerings. And so, from our standpoint, we feel very strongly about our financial discipline and about our financial policies that we've addressed before. Our chairman has said that he's very focused on a two to three times leverage level, we're very focused on maintaining and upgrading our investment grade ratings, this is something that's very important to us for the long term. And we think it has very strong strategic advantages for us as a company. And so, we'll be very careful and very mindful as the board looks at these issues, to ensure that we keep our leverage level and our capital profile and our investment level and our assets to the right levels in order to ensure that we get the outcome that we're discussing. And so, we're ready for Japan and we're looking forward to the opportunity. It's just not super near term. And so, with that, we think we'll have plenty of capacity to get it done and stay within the levels that we've discussed. Alright, and I think I'll turn over to Rob a little bit for the Chinese economy question.
Rob Goldstein: Yeah, David we're here anecdotally, I don't want to say this is anything to take too seriously. But we are actively from our people work in the casino that customers are concerned with trade war is impacting some of their business thing or the entrepreneurial people probably affected more at the higher end. People own their own businesses or work for companies that are being impacted by is not a good thing from their perspective. We hear very positive feedback to why can't this war be resolved, but we don't have – based on our base mass growth and base we're seeing in general, the callous like it's doing just fine. I wouldn't want to try to put the trade war in the front and center of any real concerns other than anecdotally, occasionally hear from a VIP customer. I heard it from my customer here in Las Vegas recently Chinese customer that it's really impactful, but I don't have to clarify that or put a real number that makes any sense against the business again. When you wrote 15% your base mass and the premium mass business, we're going to have record levels this year. How do you complain? How do you really find concern? This is – now, maybe we're wrong, maybe this will ware will be resolved shortly. I see that there's a couple of things happening in the headlines and maybe have an impact to your business. It can't hurt us. It would probably help us once it's resolved. It's a positive for China, positive for the US and we're hopeful it gets resolved, but to give you real other than occasional anecdotal feedback would be incorrect. Yeah.
David Katz: Okay. Thank you very much for taking my questions.
Rob Goldstein: Thank you.
Operator: Thank you all for participating. This concludes today's conference call. You may now all disconnect.